Operator: Hello everyone and thank you for joining the Fiverr Q3 fiscal 2021 Earnings conference call. My name is Doris and I will be moderating your call today, though I'll hand you over to your host Jinjin Qian. I would like to remind you if you'd like to ask a question during the Q&A session at the end of the call.  If you have joined us online, please use the request to speak flag icon. Please unmute yourself lock key before asking a question. I now have the pleasure of handing you over to Jinjin Qian. Please go ahead.
Jinjin Qian: Thank you, operator. And good morning, everyone. Thank you for joining us at Fiverr's Earnings Conference Call for the Third Quarter ended September 30th, 2021. Joining me on the call today are Micha Kaufman, founder and CEO and Ofer Katz president and the CFO. Before we start, I would like to remind you that during this call, we may make forward-looking statements and that these statements are based on current expectations and assumptions as of today. And Fiverr assumes no obligation to update or revise them.  A discussion on some of the important risk factors that could cause actual results to differ materially from any forward-looking statements can be found under the Risk Factors section in Fiverr's most recent Form 20-F and other filings with SEC. During this call, we'll be referring to the non-GAAP financial measures, a reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures are provided in the earnings release we issued today. And our shareholder letter, each of which is available on our website at investors.fiverr.com. And now I will turn the call over to Micha.
Micha Kaufman: Good morning, everyone, and thank you for joining us on the call today. We are very excited to talk to you about recent developments at Fiverr. Q3 turned out to be a very strong quarter with revenue growing 42% year-over-year above the high-end of our guidance. All KPIs, including active buyers  buyer intake rates performed really well too. Our business, including the traffic to our platform improved from the hyper seasonality that we experienced in the earlier part of Q3. This is by no means to say that the uncertainty, and impact of COVID is over. However, the strength and resilience of our business once more powered us through these volatile times. We believe the secular trends over  work and the need for digital transformation are here to stay well beyond the pandemic. Businesses need to stay competitive in their talent strategy to be adoptive in their ever-changing digital landscape, to creatively address the skilled labor shortage and to be nimble and efficient in execution. Fiber with our vast catalog are resilient community investing cloud services and product experience continues to empower freelancers and businesses across the world in achieving these goals. I'm very proud of the entire Fiber team in delivering strong results quarter-after-quarter. So we can invest aggressively in long-term initiatives. So today, want to spend some time talking to you about how we envision the future of work, and how we're putting a few important pieces in place as we plan the next 10 years of Fiverr. After that, Ofer will provide more color on the quarter. When we consider the total addressable market, it is important to note that the majority of freelancing still happens offline. We believe offline channels will continue to be a big part of how businesses gets connected with freelancers, just like how after more than 20 years, e-commerce is still less than 20% of total retail sales. We want to make sure that Fiverr is enabling all freelancing engagement for businesses, for both online and offline. This is why we recently acquired Stoke Talent a freelance management software accompany. Through Stoke, we gain access to the offline freelancing market that is still orders of magnitude larger than the online freelancing. With Stoke's offering we can enable businesses to better monitor existing financial relationships. Most companies today do not use dedicated purpose build freelance management systems. Oftentimes, freelancers are managed through Excel spreadsheets scattered among different teams and individuals throughout the organization. When asked, how many freelancers does your organization engage with today? Most companies don't know the answer. And this can trickle down to tremendous inefficiencies in managing budget, meeting compliance, setting up payments, sending tax documents, and the list goes on. All of this becomes easy once you sign-up on Stoke. With Stoke, Fiverr aims to become a 360 degree partner for businesses to move their entire freelancing budgets to our ecosystem. Talent is everywhere and finding talent is hard. We believe the future of work requires businesses to implement a multi channel freelancers strategy. Moving to help businesses effectively implement such as strategy and efficiently manage it without having to worry about being tied to one platform or one source of talent pool. Now, let's talk about the freelancer side. We believe the future of work for freelancers is about building a personal brand that personal audience, and the line between building a freelancing career in the small business is blurring. This has been Fiverr's vision from day one and is how we differentiate ourselves from any other freelancer platform. On our e-commerce platform, freelancers are entrepreneurs. They are store owners and they take full control in defining which services to provide, at which price, how and when they work. With this in mind, we want to build Fiverr into an ecosystem that not only brings freelancers revenue opportunities but also software and tools to help them manage their business and continue to grow professionally. We recently completed the first phase of integration of And.co and re-branded it as the all new Fiverr workspace enables freelancers to seamlessly integrate their Fiverr orders with all other client engagements, so freelancers can manage contract invoices and earnings in a consolidated fashion. We also completed the acquisition of CreativeLive to round up our offering in the learning and development space. We incubated Fiverr Learn internally a few years ago. And the product has received tremendously positive feedback from our community. Not only they love the high-quality content, but it is also a way to connect with top talent in the relevant fields and to increase visibility on our market base. The acquisitional creative lives will allow us to significantly expand our professional education content library and further grow this part of our Business. Leveraging its production capabilities and content distribution technology we also see meaningful opportunities to expand our value odds to the corporate certification partnerships will say that for later. Before I hand it to offer fiver has build, a very intuitive, easy-to-use platform with a very efficient go-to-market strategy. But sometimes, people forget how complicated our problem space actually is. We are not doing e-commerce for merchandise, but we are dealing with people, services, and relationships. They are much more complicated than the merchandise. The underlying technology we've built over the years and the incense we've gained the understanding, buyers intent and sellers expertise is what makes delivering the simple experienced possible.. We'll continue to innovate and invest in technology to make the future of work easier and better. With that, I'll turn the call over to Ofer.
Ofer Katz: Thank you, Micha. And good morning, everyone. We are excited to deliver another quarter of excellent results as medium of businesses continued to come to Fiverr to client and purchase digital services. Revenue for Q3 was 74.3 million, up 42% year-over-year, driven by a 33% growth on  20% growth on , and a 140 basis points expansion on pay grade. This is especially impressive considering the 88% growth we had in Q3 last year, translating to a 166% revenue growth on a two-year basis. That they could decrease was driven by EBITDA impact from the 50 basis point increase in service shave the continued expansion of seller tools, including Promoted Gigs and Seller Plus as well as additional contribution from ClearVoice, Fiverr Learn and Fiverr workspace. We continue to move up market with high-value buyers, now representing 62% of coal marketplace revenue up from 57% in Q3 last year. The growth contribution from high-value buyers is driven by two factors. First, the number of high-value buyers grew significantly faster than the overall buyer growth. Second, the average spend per buyer for high-value buyers is many times more than average marketplace than per buyer. Repeat buyers those who joined Fiverr over a year ago, contributed to 58% of revenue and core marketplace, up from 55% in 2020. Our older cohorts continue to spend at elevated levels compared to pre -pandemic. And we continue to see recent cohort in 2020 and 2021 to form better than a typical cohort in previous years. Adjusted EBITDA for the quarter was 7.3 million representing adjusted EBITDA margin of 9.8%, an improvement of a 180 basis points over Q3 last year. We have continued to improve our operating leverage and our ability to generate consistent positive adjusted EBITDA while growing our top-line at a significant pace, which demonstrates the strength of our business model. We made two important acquisitions in Q4, creative lie and Stoke Talent, those transaction will not have a material impact to our P&L in Q4. But they're highly pacific for us as we march towards our long-term vision of the future of work. With creative live, we expect to expand our e-learning offering to our community. We're also planning to lean more into professional training to strengthen our value proposition with upmarket buyers. Stoke Talent is a young and fast-growing Company that provides best-in-class freelance management software for medium to large businesses. We believe folk platform agnostic approach will enable us to capture freelancers spend outside of fiber, the vast majority of which is still offline. It also supports Fiverr upmarket initiative. as we look to strengthen our integration with co - points' workflow. Dozen of customers are already on Stoke platform with average annual freelancing spend of over a $100,000 per customer. Post acquisition, we expect to significantly accelerate the pace of customer acquisition on the scope platform, as well as continuing to optimize the on-boarding process to increase freelancing spend from existing customers. Now onto guidance, for Q4, we expect revenue to be 74.5% to 77.5 million and adjusted EBITDA to be 5.5 to 7 million. We are encouraged by the recent trends on our marketplace, as the hypo seasonality is in the past 2 months. As Micha mentioned, it is too early to say that the COVID impact is completely behind us. It will take a few additional quarters for us to unwind the COVID impact and the macro conditions remain highly volatile. For the full year 2021, we now expect revenue to be $292.4 to $295.4 million. At midpoint this represents revenue growth of 55% year-over-year and 174% on a two-year basis, adjusted EBITDA is expected to be 19.5 to 21 million, which at midpoint represents 210 basis points year-over-year improvement and a positive swing of 23.7% points compared to two years ago. The fact that we have been consistently growing our business at a significant pace and dramatically increasing our market share highlights the strength of our business model and our ability to execute and we expect to continue doing that for many years ahead. With that, we'll now turn the call over to the operator for questions.
Operator: So if you would like to ask a question, please press star 441 on your telephone keypad.  Please note you'll wait a couple of seconds for all attendees to register the question. Our first question comes from Nick, Jonathan CTP's go ahead, Nick.
Nick Jonas: Great. Thanks for taking the questions. I guess, two -- around the acquisitions one, can you touch on what the impact of 4Q guide is from the acquisitions this quarter, just so we can try to tease out what's organic and what's additive from CreativeLive live in Stoke Talent. And then the second question, maybe taking a step back. How should we think about Stoke Talent and in terms your of strategy to go more up market, does this go further than the larger SMB that you were focused on, can Stoke Talent start to attract enterprise clients. Maybe called Fortune 500-type client. Thanks.
Micha Kaufman: Hey Nick on the first part of the question, on the fourth-quarter guide, you shouldn't assume any impact, not time they poke line on the bottom line the two companies are considerably small. And the overall revenue and expenses are not material to where we are today. And then as for your second part of the question about still essentially, as we said in the opening remarks, Stoke is mostly serving customers who are spending over $100,000 a year on their freelancing engagement, which if you compare that to the average spend per buyer on fiver, you understand that there's a market gap. This is definitely serving as a way for us to engage with much larger types of customers those types of customers often times bring their existing freelancers into those platforms but overtime and they need access to additional freelancers, which we can serve through our market base and be able to serve that specifically worked. this works very well with Fiver business as well. So we definitely think that this is extremely strategic its a young Company just starting but the pace of growth is very nice and we're very excited about it.
Nick Jonas: Great. Thanks for taking the questions.
Micha Kaufman: Thank you.
Operator: Our next question comes from Doug Anmuth from JPMorgan. Please go ahead, Doug.
Doug Anmuth: Great. Thanks for taking the questions. Hope you guys are doing well. Maybe first just on take rate, 140 basis points of increase year-over-year offer. I know you mentioned basically a third of that. Sounds like it's coming from the increase in service fees, but can you help us understand kind of the other 100 bps plus across Promoted Gigs and Seller Plus and ClearVoice some of the other things you mentioned there. And then also how you think about where take rate can go over time and then also just I know hyper seasonality, you kind of talked about getting through perhaps the worst of it, things getting better. Just I know you're not guiding to 2022, but as you look towards next year, or you just curious to get your early thoughts around just whether it's seasonality you think kind of returns to a more and more type of position there. Thanks.
Micha Kaufman: So on the part of the question. So yes, I think this is on the answer I'm going to be pretty consistent to the answer we gave previously  due to the change we did on the services and the rest is relying on the other services we are promoting, which are the higher take rate. One good example is the Promoted Gigs. Second example is the Seller Plus that's we initiate
Ofer Katz: two or three quarters ago. So this type of add-on services, whether it's on the supply side or on the demand side is and this is increasing the take rate. As these services are becoming more popular and adopted by the audience, we anticipate the take rate will increase for the time being. So that, again, consistent with what we've seen and since went public take rate is growing moderately quarter-over-quarter we anticipate this is the case for the next few quarters.
Micha Kaufman: Regarding the hyper-seasonality, so essentially, on -- we've been talking about this since previous quarter. So hyper-seasonality started in the second half of May. I think the worst 12 it was July and it stabilized in August with a moderate improvement in September and October. This is what we're seeing. Okay. So our point is that it's still early to say that the COVID impact is behind us and hyper-seasonality is over, with the upcoming holiday season could be a little different this year. Many people didn't get to visit their families last year. I think we've seen from reports of travel and earn airline that this is going to be slightly increased this year. But we think that the unwinding of COVID will continue throughout the next few quarters. The good news for us is that the business fundamentals are very, very strong. We're -- we have a huge -- the business is going extremely well. Cohort behavior is better than it was pre -- pre COVID. So on a normal, we're saying is we should be a little bit cautious about how we view the next few quarters because these are stays in maybe the unblinding COVID and some uncertainty should be built into it.
Doug Anmuth: Okay, that's helpful. Maybe just one more to follow up. You mentioned creative live. Obviously expands the e-learning capabilities here. Just curious what other key investments you think you need to make in that direction as you lean into professional training, more. Yeah.
Micha Kaufman: So creative live, it's really a way for us to take the program that we started with Fiver Learn Box forward without being thousands of high-quality classes in both strong assets in product and contribution. It really gave you have beyond MRD. As we said, we want to provide opportunity for commented people to advance their careers and translate their learning and training into work achievement. So the integration of creative livelihood, what we're doing is extremely important. As we think about working and getting into new verticals the ability to create training programs that would allow professionals to get into those verticals we think is critical in these solution and this allows us to create 360 ecosystem that takes care of many different aspects. And so I think how good the creative lives that the pilots of team that built this product of the year, it’s an extremely important asset for us in this strategy. 
Doug Anmuth: Great. Thank you bro.
Operator: Our next question comes from Jason Helfstein from Oppenheimer please go ahead Jason.
Jason Helfstein : Thanks for taking a question. I guess, one, how are you thinking about the impact of the acquisition or how should we think about it? I mean, clearly there's product behind that, either product acquisitions, but how fast do you think you can integrate them and then we potentially see the impact on the business? Is that maybe more of a '23 impact or could we actually see some in '22? And then from a -- given there's a lot of discussion about kind of leaving tech jobs because of burnout. Are you seeing more of these people effectively laborers like joining your marketplace and just how are you thinking about that over the next six to 12 months Thanks.
Micha Kaufman: Jason. Good morning. The impact of the acquisition, I think -- I think you're right. I think the impact should be expected in 2023 it's obviously going to take a few quarters moving integration. Definitely so expect to have a very meaningful impact in the coming quarters. As to what we're seeing with employees leaving their jobs. I think that in a sense what we're seeing, there is the great resignation, but people don't just resign they need to assume new jobs. And I think that this is more a rotation than just resignation. And I think people yes, some people are burned out, some people are just rethinking their careers and this is a good opportunity. Some people rethink how they want to have work life balance We have been seeing a steady -- steady increase in freelancing in general. So yes more people are engaging in freelancing but I think this is not largely driven by debt because this is more of a rotation. And because about you're seeing -- you're seeing salary inflation and all of that because people to leave job, it creates a lot of demand for new talent, which creates opportunity for that talent to demand higher salaries. So it's kind of a cycle that feeds itself. We're not sensing like a massive, massive change. I think that most of the resigns are actually being reemployed by other tech companies. It's just a way to make a change. Thank you.
Operator: Our next question comes from? Bernie much turn-in from didn't need to? go ahead. Bernie.
Bernie: Hey, thanks for Chris on for Bernie. Paydowns morning. There's still Cabot sales force and would that sales force as they sell into those businesses doing over a 100,000 in revenue, would that help your SMB business? Is that kind of could there be an add-on effect there? Is that the right way to think about it?
Micha Kaufman: So yes. Stoke does have a handful thin markets, circles that compliment partners you EPO, together with they take marketing, inbound. I think Stoke is -- is a very early stage Company, grows really fast. Yet to be said, it's still early to see how, how we developed. In the next few quarters. so that's the plan on VSMB business and I think Niko (ph) mentioned it earlier, it can take some time to productize the synergy to combine between, between these total and Fiverr business, which is where we're are heading.
Bernie: Yes. So just a little comment on what was said, the need to create a holistic solution for businesses. So. businesses come to us and new with Fiverr Business for their purposes, and they may have other freelancers that they have previous relationships with, the Stoke platform should serve these customers very well. So this is, this is a great channel in adding large customers into the stoke, into the Stoke product. A lot of Stoke growth has been organic and yes, in combination with
Micha Kaufman: sales efforts, both inbound and outbound. But generally speaking, is Ofer Savi it's a young Company. We would just doesn't. Customers at this point. We're very happy to see that the growth is going extremely, extremely well. And we'll be happy to provide more details on that business in the upcoming quarters.
Operator: Our next question comes from strat Ericsson from RBC Capital Markets. Please go ahead, Brad.
Strat: Just a couple from me. First for Stoke. Can you just talk about the mechanics there that you envision when you think about bringing an enterprise onboard. And then like you said, transitioning their offline freelancing activity to the online world. What does that look like? How hard is it? Is there a basic assumption when you sign up for Stoke that they want to bring everything online or is that not how it works?
Micha Kaufman: So thanks for the questions. As we always said, the majority of freelancing activity  about 95% of it is a fan, which means that it's, it's mostly based on word of mouth and reference from people. So when people are looking for talented three months to work with, they use their networks mostly, to get in touch with them and overtime businesses are being groups or cohorts of freelancers that the organization is used -- as used before, and they become a resource for the organization. What's Stoke provides is a way to standardize that relationship because there's so many difficult touch point in having the entire very diverse group of freelancers, agencies, studios, work with an organization. While keeping the same, the same compliance level and managing budget, and managing communication and so forth. And Silk really allows these organizations to standardize. But the reality is that organizations over time needs more and more comment to engage with. So sure they can use their previous networks to try and source these freelancers. Or now, because we're integrating Stoke and Fiver, they can be enjoyed the fact that we have an amazing one of the largest pools of talent in the world. And we can help them top into that talent and work with that talent, the way they are working with. At the end of the day, if we think about the future, there's going to be multiple ways to engage with freelancers. Fiverr wants to solve for all of them. We don't care how you -- what's your preferred way of working freelancers, we want to be able to provide a simple, intuitive, easy-to-use solution for that. And the idea is that we're going to integrate all of these solutions into one ecosystem and Stoke plays a great role in doing that. So bridging deal flying to the online. Stoke is just another incredible way for us to do so and obviously it's focusing on larger types of customers that have their own groups or freelancers that they have relationships with.
Strat: Got it. And then maybe just a follow-up. You mentioned a couple of times here this morning that we still have may have a few quarters as we hopefully come out of COVID, which creates some uncertainty and caution. Can you just help us reconcile why that would be? It seems like that would be a good thing for Fiverr, particularly given that we don't have to worry about hyper seasonality, it would seem just so -- maybe just a little more help there would be great.
Micha Kaufman: So the beside the hyper seasonality, the fact that we're lapping a very strong growth of our active buyers during the last few quarters since the way we calculate active buyers is on a full-quarter basis of activity. What we anticipate in terms of modeling is that we'll see some headwind in active buyer growth for the next few quarter sales, so that -- that's -- that's the main place where we anticipate the headwind, as we look -- as we look to the future.
Strat: That's great. Thanks.
Operator: Hey, Our next question comes from Rohit Kulkarni from MKM Partners. Please go ahead Rohit.
Rohit Kulkarni: Great. Thanks. A couple of questions. One on marketing and any early signs of success from the brand marketing campaign that you could share. And as part of marketing has a lot of internet companies are facing uncertainty with user acquisition, traffic acquisition and whatnot. As part of your buyer and traffic acquisition, are you seeing any of that given the way you spend your marketing dollars? And then I have a follow-up.
Micha Kaufman: Thanks for the question. Yes, we have launched a new brand and we're doing -- we're launching its multichannel. So to combinational TV digital out-of-home. and we're doing it multi-country, U.S. U.K. Australia, Germany. It depends on what we're seeing from the campaigns so far, are it was just launched, are assuming positive. So we're very happy with it then. And as we always said, the strategy of binding brand marketing and performance marketing is key to what we -- what we're doing. In terms of what we're seeing as trends in buyer acquisition.  I think that the performance speaks for itself, meaning, the time to return on investment hasn't been longer. It's about a quarter the lifetime value of our customers is increasing all the time. Essentially, we're not just buying more cohorts for customers, but the customers that we acquire are actually spending more with us over time and their contribution to the overall revenues of Fiverr increasing, increasing pretty much of the I mean, when you look at high-value buyers, they're contributing 62% of our revenues, which is 500 basis points more than last year, which is a very significant growth. So what we're seeing is we're seeing that we're able to maintain the efficiency of our marketing both the combination of brand and performance is do we target higher lifetime value buyers, which we're very, very happy with.
Rohit Kulkarni: A follow-up on. the hyper seasonality and going to travel. The issues that you're excited bike in August as an are you assuming any kind of change in behavior or kind of any change in linearity of typical F4Q. As you get into the late December period. Perhaps there is going to be more travel this year than even 2019. Even so, I'm wondering if your guidance for 4Q resumes, any change in how buyers or sellers might behave later in December.
Micha Kaufman: So again, I think that there is some level of course, as we are baking into the guidance is based. And my point about this was that we may in the upcoming holiday season a little different than previous years. And I've explained it by saying that I think at least last year, a lot of people, if you think the US as an example, the holiday season is a great opportunity for family few night, right? And make a trip and spend time together. Last year this was impossible. I think this year it's probably going to be slightly higher than previous years. And maybe the holiday season could be slightly longer than usual. I mean, people taking time off a little bit earlier than usual. But again, I'm speculating and we want to do is just to say that we may see some different behaviors. We have seen seasonality different this year. I think. It's not just, many businesses reported about this to the market. And so just want to be cautious, but all of what we're saying here, when we said that the seasonality is more moderate. It’s not at this point season it's not hyper seasonality, at least in September or October. and we've baked that into the guidance. So hopefully that provides more color. 
Rohit Kulkarni: It definitely does. Thank you, 
Operator:  concluded and will hand back to the management team for any final remarks.
Micha Kaufman: Thank you. Thank you, everyone for spending your morning with us. Have a great day and we'll talk to you soon. Thank you.
Operator: This conclude the conference call. Thank you for joining. You now can disconnect your lines.